Operator: Good day, all participants are now in line in the listen-only mode. Later there will be an opportunity to ask questions. (Operator Instructions) It’s now my pleasure to hand over the conference to your moderator, Michael Weitz, Vice President of Investor Relations with World Wrestling Entertainment. Please go ahead, sir.
Michael Weitz: Thank you and good morning everyone. Welcome to World Wrestling Entertainment's Second Quarter 2009 Earnings Conference Call. Joining me for today's discussion are Vince McMahon our Chairman, Linda McMahon, our CEO, Donna Goldsmith our COO and George Barrios our CFO. We issued our earnings release earlier this morning and will be referencing a presentation as part of our discussion. These are available on our corporate website at www.corporate.wwe.com. We will be making several forward-looking statements today as part of our discussion. These statements are based on management's estimates. Actual results may differ due to numerous factors, which are referenced on page one of the presentation. These risks and uncertainties are discussed in more detail on our filings with the SEC. Reconciliations for non-GAAP financial information discussed on this call can be found in our earnings release or on our website. Today, we will review our financial results for the second quarter and we'll follow this review with a Q&A session. At this time, it is my privilege to turn the call over to Vince.
Vincent McMahon: Thanks, Michael. I think we’ve done a very good job in the second quarter. We had some solid growth in terms of profits the economics and despite the economic recession and a decline in sales and sort of relates back to what we’ve stated before in terms of improving our operating efficiency. WrestleMania is in this quarter, which is little unusual and it’s used things a little differently in terms of the positive, but if you take WrestleMania out, we had an operating income increase of 9% and that’s in the shadow of an 18% decline in revenues. So that’s pretty impressive operating income increase. As far as again continuing to demonstrate our improved operating efficiency, you can look at WrestleMania this year and compare it to last year. When you consider that we more than doubled profits from last year. Again it’s sort of speaks to not withstanding about the same gross, it speaks to our operating efficiency, and WrestleMania itself not to carp on WrestleMania, but it’s my favorite financial event nonetheless. When you consider that and when you take WrestleMania out of the quarter, we still had about 4% increase in attendance which is one of our really strong parameters as to whether or not someone is enjoying our product and how you can take the product and apply it over to all areas of revenue. So, I thought that’s pretty impressive, year-to-date we were about flat in attendance to what we were. So again especially in today’s climate I think that’s pretty good news, it’s not astounding. Nonetheless, I think it’s pretty good news. Our television ratings are generally up, which again is not always indicative of profit fall into the bottom line, but I think it’s a positive indication, nonetheless. Yet again all of this is with some we had concerns you guys looked over the numbers and the DVD revenue is a short decline which needs to be addressed. Our pay-per-view buys as well need to be addressed. When you take WrestleMania out, there was a decline of about 4% which again probably would relate to the economy, but also we need to do a better job of creating compelling content, but not withstanding all of this, I’m still very bullish on our company in terms of our ability to produce content that succeeds generation after generation, month after month and week after week. It is important that we produce compelling contents I stated before not just content. And in terms of our business plans and would have will be rolling out what used to be referred to or maybe as a long-term business plan, which is a three year business plan we’re working on now, and I think over the next quarter we’ll be rolling out, I think you all will be impressed with our efforts to as far as increase of profitability in terms of being prudent as far as maintaining cost on the lower side and other lot of things in that three year plan. So again I’m bullish pretty much on all aspects of our business, and with that I will send you back. George.
George Barrios: Thanks Vince. I'd like to start by providing you with some additional perspective on our second quarter results. For the quarter we reported 7% increase in revenue and our operating income more than doubled as compared to the prior year quarter. Our performance reflected the impact in timing of WrestleMania and as a reminder WrestleMania occurred in the second quarter of 2009 as compared to the first quarter of last year. Excluding the impact of WrestleMania revenue declined approximately 18% despite the underlying decline in revenue, operating income excluding WrestleMania increased 9%. Demonstrating our ongoing commitments improved efficiencies across all of our businesses. Current operating conditions clearly had an impact on our live events, pay-per-view and home video performance. However our continued vigilance on cost more than offset the impact from an adverse economic environment. We improved profit margins to 45% compared to 41% in the prior year and achieved 16% decline in SG&A expenses from the second quarter of last year. Regarding WrestleMania this year the rent contributed in aggregate approximately $32.2 million of revenues and $15 million of profit contribution and accounted for $0.13 of EPS in the current quarter. With comparable top line results the event more than doubled the contribution to profit and earnings of last year's WrestleMania. Bad event contributed approximately $31.3 million of revenues, $7.1 million of profit contribution and $0.6 of EPS in the first quarter of 2008. To clarify the trends in our business, I’ll discuss our performance on an adjusted basis excluding the impact of WrestleMania. Additionally, our second quarter results particularly our live events, pay-per-view and consumer products were impacted by changes in foreign currency exchange rates. We estimate that these changes reduced second quarter revenue and operating income by $7 million and $3 million respectively. Excluding both the impact of WrestleMania and the effect of foreign exchange revenue declined approximately 13% and operating income increased 30%. For more detailed review of our performance in the quarter, let’s turn to page five of our presentation which lifts the revenue and profit contribution by business units as compared to the prior year quarter. Starting with our live events including merchandise sales of these events, revenue was down 24% to the prior year quarter on an adjusted basis. Contributing to this decline were lower average ticket prices and lower average attendance at our international events. In addition there were [inaudible] international events in the quarter. Specifically average ticket prices at our international events declined 35% to $62.77 and average attendance declined 11% to 8,100. These results reflected changes in our touring schedule, the impact that will weak global economy and importantly adverse changes in foreign exchange rates. Average attendance at our North American event increased to 4% to 7,200 on an adjusted basis. However this rise was offset by 14% decline in average ticket prices to $34.47. Turning to our pay-per-view business, strong revenue growth reflected the performance and timing of our WrestleMania event. WrestleMania XXV generated $21 million in pay-per-view revenue based on approximately 960,000 buys in the quarter. Excluding the impact of WrestleMania revenue declined 18%, revenue was reduced by a change in the event scheduled which deferred a relatively strong event Night of Champions to the third quarter and added the best to the current quarter. In addition, buys for the three comparable events in both the current and prior year quarter declined by 4%. Revenues from the distribution of our television programming increased by 15% or $3.6 million due to higher rate fees from our global television contracts and the addition of our new WWE Superstars television show. So the new program debut on WGN America on April 16. Notably profit from our television business more than doubled in the quarter. Here gross profit margins improved to 36% from 19% with the expansion of revenue from WWE Superstar and significant efficiencies in our production processes. In our Consumer Products segment, our licensing revenue remained flat at $9 million over the prior year quarter. The current quarter launch of a new video game title Legends of WrestleMania offset declines from our SmackDown versus Raw video game as well as lower revenues from our toy products. Our Home Video revenue declined 54% or $9.9 million reflecting lower sales of new release in catalog titles in conjunction with a broader decline in the Home Video industry. In addition, there were two fewer titles released in the current quarter. Overall DVD shipments declined 36% to 833,000 units during the quarter. In our Magazine publishing business revenue decreased 30% to $3 million. The decline primarily reflects a reduction in newsstand and subscription revenue and the publication of tour of Europe special issues in the current quarter. In our Digital Media segment revenue was essentially flat at $7.9 million from the prior year. Increased sales of online advertising were offset by lower sales of online merchandise. During the quarter we managed 16% increase in online advertising capitalizing on 22% year-over-year increase in Internet traffic as measured by page views. Last quarter I mentioned that we have seen increased activity in our add sales pipeline and this quarter’s results are testament to the increasing effectiveness of our sales force. Recently we announced new partnerships with 7-11 in Pepsi Max which represents specific examples of our provoking success in this area. Offsetting the growth in online advertising revenue from e-commerce declined 13% reflecting a decrease in both the number of orders and in the average revenue per order. The number of online merchandise purchases declined 13% to 62,000 orders. In addition, the average sales per order fell 2% to about $52. During the quarter WWE Studios recognized revenue of $800,000 associated with two of our film projects, See No Evil and The Condemned. As we have stated before we believe our overall portfolio terms will surpass breakeven profits. Our overall profit contribution margin increased to 45% from 41% in the prior year on an adjusted basis. The increase reflected improved margins across our businesses led by our Live and Televised Entertainment segment. In particular, the quarter was highlighted by reduced operating expenses associated with our television production in brand marketing. For the quarter reported SG&A expenses decreased 17% or $6.3 million to $31.3 million led by improved efficiencies in our advertising, a reduction in legal and professional fees and a lower staffing cost. These cost reductions were partially offset by increased reserves for bad debt primarily associated with our international customers. It should be noted that SG&A expenses in the prior year quarter included a charge of $3.5 million associated with the McMahon Million Dollar Mania advertising campaign. Excluding this charge SG&A expenses decreased 8% from the prior year quarter and were essentially flat compared to the first quarter of this year. As a reminder we expect that our commitment to reduce our 2000 expense base by $20 million will be realized in both lower SG&A expenses and lower direct expenses that are captured in our profit contribution. Page 14 of our presentation compares the quarter-over-quarter results and provides a summary of changes by business. As shown, operating income was up 134% as compared to the same period last year with a market increase in profit from WrestleMania. On an adjusted basis operating income increased 9% or 30% excluding the impact of foreign exchange. This growth demonstrates our commitment to managing our controllable costs in order to take advantage of the operating leverage in our businesses. Net income was $10.2 million on an adjusted basis excluding WrestleMania compared to $7 million in the prior year quarter. As discussed previously increased earnings were attributed to improve the efficiency across our operation especially in our television production. The quarter also benefited from favorable changes and other non-operating income. These included realized gains from foreign exchange and the positive revaluation of warrants held in certain license fees. Also favorable to net income the effective tax rate was 35% in the current quarter compared to 40% in the prior year quarter. Page 15 of the presentation contains our balance sheet, which remains strong. On June 30, we held more than $230 million in cash and investments with virtually no debt. Page 18 shows our free cash flow. For the quarter we generated approximately $26 million of positive free cash flow compared to negative free cash flow of $18 million in the prior year quarter. Improved performance were driven by the timing of WrestleMania, lower investment in feature films and changes in working capital including changes in the company’s tax position. In addition, capital expenditures decreased to $1.4 million as compared to $5.9 million in the prior year period. Looking ahead, we will continue to manage the company to improve our cash returns. To support this objective, we are in the process of completing the comprehensive strategic review of our businesses as Vince mentioned. Well understanding the challenges of the current macroeconomic environment, we’re optimistic about our long-term growth prospects and we plan to communicate more on this topic in the future. That concludes this portion of our call, and I’ll now turn it back to Michael.
Michael Weitz : Thank you, George. Scarlet, we are ready now. Please open the lines for questions.
Operator: (Operator Instructions) Your first question comes from [Jerry Tang] – Roth Capital.
Jerry Tang – Roth Capital: Question on the Live and Televised Entertainment, are the recent events being hosted, but the likes of Donald Trump, Shaquille O’Neal and Jeremy Piven have those possibly effective your shipping attendance and if so is this something we can expect to see more of in the future?
Vincent McMahon: Some of them have reflected in increased television ratings. We think certainly to Shaquille O’Neal, I think out there is a lot. It’s really difficult to say if the whole intent here is to try and reach out to a broader audience, and brings in new viewers and maybe some [laps] ones as well. It gives us a platform more over outside of our environment in terms of promotion and things about nature that otherwise people would not be mentioning WWE. ESPN covered extensively. The Shaq promotion after the fact, likewise on terms of entertainment press we got a lot out of that with Piven with Seth Green as well. These are plans on Raw specifically since it’s a live show. Do not every week, but the mix of celebrities from all walks of live and I do mean all walks of live. In conjunction with our Legends and Superstars that will be as well in this mix. It’s just a different approach again to broaden the audience, which if we broaden the audience and increased the audience obviously I hope this will help all of our revenues. So that’s the general idea and it seems to be working.
Jerry Tang – Roth Capital: Is there any ongoing litigation from the booking issue with the Pepsi Center in Denver during the second quarter? How much of the positive impact did that have if any in the quarter?
George Barrios: There is none of that at the moment. Although, I’m expecting a letter of apology from [Inaudible] I probably won’t get it and to the extent, we’ve pursued legal action and we send him a bill of like $307,000 I think. We haven’t heard much from them at the moment, that’s an effort in terms of recouping some of our out of pocket cost, which we did incur. Again no legal actions have been taken against the Pepsi Center.
Jerry Tang – Roth Capital: A final one here, how would you rate the success of the WWE Superstars program to date? And are you looking to further expand the number of television programs, are you comfortable with your current offerings?
George Barrios: That’s always, as far as the WWE Superstars on WGN is concerned, its right where we thought it was going to be and it’s right where WGN America was going to be in terms of television ratings. It’s a one hour show and we feel good about it. As far as other aspects concern and increasing our mix, negotiations are coming up in a bit with USA network, which I think will be interesting. I think it will be to our betterment in one fashion or another. Depends on what other opportunities would open to us as far as other non-event, type television. There are many opportunities out there, and I’m talking about saying non-events, its non-arena type of compelling stuff.
Operator: Your next question comes from Alan Gould - Natixis.
Alan Gould - Natixis: I’ve got a few questions. First, Vince how did you take $7 million of the cost of WrestleMania this year versus last year? Is it mostly marketing?
Vincent McMahon: Some in marketing, it’s just more precious he hits. We took a chance to go outdoors; when you’re doing an outdoor event it just increases your cost and it would somewhat in the future although we have a better handle on that. So we sort of build this one-time structure into the house all the lighting entire row and all that sort of stuff. The outdoor aspect of WrestleMania, I think was more than anything else was the contributions of more cost. So we’re just more efficient, more cost conscious. Revenue came in about what we thought was going to and all brought to the bottom line, we bet it was everything. It was just production cost, I think predominantly better handle on production cost. Marketing as well, great job of keeping those cost down and so you needs to cross the board, but I think specifically it would be more in television production cost.
Alan Gould - Natixis: My next question, you said you’re going to have to take a look and examine what’s happening in the Home Video area. I know whole industry is down, but you seem to be down more than the industry. What sort of changes should we expect there?
Donna Goldsmith: Well, yes definitely the industry is down and as you know over the last several years, the industry has been hit everything on year-end. We have been bucking the industry, having been doing very, very well. It seems that this point that we are showing some signs of fatigue. So what we’re looking and doing is changing up our content. When we look at 2008 content for the quarter as opposed to this quarter, we see that we had slightly stronger titles last year. So we’re looking at changing up our content as we get into the second half of the year we’ve got some strong titles. In addition, of course the economy is effecting retail and retailers are taking a lot less products than they’ve taken before with much shorter lead times they used to order way upfront, they are now ordering just quick to market. Until all of the changes are met, the business model have affected us as well, so from the content side from what we put out, from the packaging at retail to what we offer our retailers. We may offer a lot more exclusive than we’ve offered in the past. We’re looking at all of that as we move forward.
George Barrios: I’ll add to add to Donna’s point, year-to-date for Home Videos down if the percent or so. We’ve got 25% fewer titles year-to-date, so we had 15 last year, we had 11 this year. Also well the average shipments are also down about 22% or so and our returns percentage is up a little bit year-to-date as well that total number of titles is down and that will be made up in the back half of the year.
Alan Gould - Natixis: My last question is for you George. Your profit contribution margin was 48% in the first quarter, 45 in the second quarter, are those sustainable levels?
George Barrios : Well, the way I look at it Alan is I look at our variable margin for us which is roughly about 75% across the portfolio products and that’s defiantly sustainable. The profit contribution margin will move a little bit depending on our direct marketing cost, some other changes that we might make around the operations, but I think that range is right, but generally as we stated in the comments our ability to take advantage of that 75% direct margin and let it flow to the bottom line as the top line improves. That’s our real focus as managing those other direct cost. We might see some little bit of fluctuation because each business is a little bit different in the profit contribution margin, but we certainly believe the expanded margins are going to stay with us for a while.
Operator: (Operator Instructions) Your next question comes from Marla Backer - Hudson Square.
Marla Backer - Hudson Square: I have a few questions. First of all I will follow up to Alan’s question. I was also impressed by the increased profitability out of WrestleMania. Should we view that as a way to market the event to model the events going forward, is this some more normalized example of what we should expect from profitability?
George Barrios: Yes, again relating to our operating efficiencies we’re far more attentive to a lot of our cost. Again it depends on the venue as far as production cost of concern that may go up or down a bit, but again we’re more conscious of all our production expenses as well as marketing. I would suggest that this year’s model certainly what we aspire to accomplish every year going forward.
Marla Backer - Hudson Square: Can you give us any color as to whether the recent arbitration between THQ and Jakks Pacific, what kind of an impact if any that could have on WWE itself?
Vincent McMahon: I really think it’s going to have any impact when where the other. If anything it might be some positive impact, but again we can’t count any of that. At the worst it’s business as useful. Donna, you want to add anything on that?
Donna Goldsmith: No, that’s exactly what I would have said, Vince. As you know Marla the arbitration is between the two parties, Jakks and THQ and does not affect us directly.
Marla Backer - Hudson Square: My understanding is that they were arbitrating over the royalty that they share that one and also over whether Jakks could trigger the extension of the WWE joint venture, is that correct; is that your understanding?
Donna Goldsmith: That is correct and as of the first part the arbitration would settle with Jakks getting 6% instead of 10% from the joint venture. As far as the royalty rate goes into the second part of it, there has been no ruling on that account yet.
Vincent McMahon: Jakks are obviously are not our friends and we’ve been going after them aggressively. So but that’s pretty much over.
Marla Backer - Hudson Square: Then I have two final questions. One is on 12 which I think to about 12 million of the domestic box office, but then they viewed at number one on the DVD sales chart. How are you thinking about facts in terms of the ultimate, are you thinking that that would be a positive title, you know over the course of the ancillary windows?
Vincent McMahon: It would be profitable, again that was a bit disappointing, but nonetheless when you consider all of our films combined, we show a profit very modest one, but we show a profit pretty proud to that actually, because it allows us in terms of the industry to learn a great deal of how we want to operate in the film industry is a part of our overall product mix. We think we’ve learned a great deal, we think as well we have which we roll out in our three year plan. I think we have a new plan that works for us specifically in which the margins would be substantial.
Marla Backer - Hudson Square: My final question, you know with so many other companies cutting their dividends, how do you feel right now about your dividend which is obviously extremely rich?
Vincent McMahon: Again we review this every quarter. Some one asked me about the long term commitment and I would suggest obviously a long term today in this economic environment is not with long term used to be. Nonetheless, we view that at every single quarter; consider our capital structure, what our investments might be. So again it’s in every quarter we view.
Operator: Your next question comes from Michael Kupinski – Noble Financial.
Michael Kupinski – Noble Financial: Thank you for taking the question. I just have a couple of questions related to your international live events on ticket prices dropped there somewhat surprising and you mentioned that it might be a little bit due to the economies there. Did you change something there maybe offer a lower tear tickets where you are just discounting tickets, I was just wondering if you’re looking for this to be a longer term issue?
Vincent McMahon: We don’t discount tickets. I things that’s a wrong thing to do, the circus can handle that, but I think once you start discounting tickets, you’re discounting the value of your product. We sometime ago both domestically and internationally seeing this economic problem, it was upon us. We adjusted our ticket prices and it’s more over to lower ticket price, which we decreased and that’s what you’re seeing here. Again we make attendance being up 4% for the quarter. Part of that is being able to offer family prices so to speak in an average 35 bucks. That’s to see the kind of entertainment we present for that amount of money as compared to everything else that’s out there touring is pretty extraordinary in terms of the being the best value in entertainment.
George Barrios: The other thing I’ll add to Vince’s response is our key rates were down from an FX standpoint about 22% in the quarter. So that was the predominant driver international pricing, and also the mix of where the events occurred. We don’t tour internationally in the same places that record some that was in both of those factors also influence those numbers. 
Michael Kupinski – Noble Financial: Then for the balance of the year, can you talk about the number of the domestic events; are they going to be up or down versus last year and versus the international live events?
George Barrios: What we talked about from an international standpoint is that we do somewhere between 75 and 80 international events and we’re still committed to that. Domestically just because of the logistics in the first half of the year we were up about 18 events domestically, that won’t happen in the back half of the year.
Michael Kupinski – Noble Financial: Have you given any more thought on your plans to grow your international live event business, beyond what your currently I mean in terms of whether or not you look for maybe a second year of stars and therefore I think to kind of grow it a little bit faster?
Vincent McMahon: That’s a part of our three year plan upcoming, which you will see and all likelihood more international events, as you alluded to some of them won’t be necessarily the A-type event, because you’re not going into an A-type environment from a marketing standpoint, nonetheless the profitability should be there, stood observation on your part. Yes, we’ll have more international events, but it won’t be always the A-type plan, it will be a combination of A and B.
Michael Kupinski – Noble Financial: And I just want to congratulate you again on the SG&A line. Can you give us a little bit of color on what, because there might be a little bit of noise in there with WrestleMania and so forth, can you give us a little bit of an idea what that expense line run rate might be as we look into the next quarter?
George Barrios: Yes, I think you’ll see SG&A everything else to be an equal at kind of the similar trends that we’ve done in the first and second quarter of this year and as I mentioned second quarter is essentially flat to first, and the only kind of variable in there is the company’s incentive comp program will hit the SG&A line. So there is some variability there depending on underperformance or over performance, but versus its targets, but ex that soft comp and incentives comp you’ll see SG&A at the same level.
Operator: Your final question comes fro Marty Castro - Morgan Stanley. 
Marty Castro - Morgan Stanley: Congratulations again on the contribution from WrestleMania for this particular quarter and looking at the first half of the year results I noticed really the two bright spots being your television right fees and venue merchandise was up as well somewhat. Can you comment about the specifics that just related to the success of those relative to the other portions of the business?
George Barrios:
 : The per capital spending of an attendee on merchandise at the event. Our per caps year-to-date are down, our average attendance year-to-date is about flat, but because we had more events that has total more aggregate attendance. So that’s what drove that number.
Marty Castro - Morgan Stanley: Just also with the venue merchandise portion, is that product largely the same products as in WWE Shop as that somewhat came to my attention that the merchandise sales and WWE Shop were down dramatically, what seems to be inconsistent with most online and e-commerce businesses?
Donna Goldsmith: Marty, I’ll answer you there in two parts. Yes the merchandise is the same products that you’ll see on Shop, it’s just obviously because its base consideration there are lesser number of products that you will see at the venues and you will see on Shops. Shop is almost the store were you can see a complete array of WWE products. The fact at the business is down somewhat is related to number one effect that DVD business in general is down and we have taken ahead on our Shop side as well as that retail, very similar results there, and then the second part of it is we are unique structure as compared to entertainment companies or to sports companies. In that we have our own products that we sell on the web and we also sell products at retail and these are different products, but we’re able to sell both successfully. So as a result of having a very, very strong program over the last several years that retail primarily led now by not only DVD and by video games and toys. We now have a very strong program at retail and the apparel front. We’re actually been number one boys brand at Wal-Mart for example, and that to some extent has taken somewhat of a hit on our Shop site. So we’re examining now, we’re always looking at our business model and see if we should be changing it up, but you can’t forget the number of people they are walking to the retail stores that are now buying our product. So if you look at the overall members, we’re actually on a per unit basis we’re doing a lot better than we had done, but relative to straight margins we need to look at that and address it on a go forward basis.
Michael Weitz: Okay. It sounds like there is no one in the queue. Thanks to everyone, we appreciate you listening to the call today. If you have any questions please do not hesitate to contact me, Michael Weitz, at 203-352-8642. Thank you. 
Vincent McMahon: Thanks for joining us.